Operator: Thank you for joining AutoCanada's conference call to discuss the financial results for the second quarter of 2025. I'm John, your moderator for today's call. Before we begin, I'd like to remind everyone that today's discussion may include forward-looking statements, which are subject to risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements. I encourage you to review AutoCanada's filings on SEDAR+ for a discussion of these risks, the fourth quarter news release, financial statements and MD&A. [Operator Instructions] I'd like to remind everyone that this conference call is being recorded today, Wednesday, August 13, 2025. Now I'd like to turn the call over to Mr. Paul Antony, Executive Chairman of AutoCanada Inc. Please go ahead, Mr. Antony.
Paul W. Antony: Good evening, everyone, and thanks for joining us. This quarter marks a significant milestone for AutoCanada, and for me personally, it represents the culmination of the work we began in 2018 when I assumed the role of the Executive Chair shortly after the acquisition of our U.S. operations. At the time, AutoCanada was under severe strain, financially vulnerable and operationally overextended. The U.S. acquisition was an ambitious move but one that quickly revealed structural and cultural misalignment with our Canadian core. The company was, quite frankly, at risk prior to us getting here. What followed was a multiyear effort to stabilize, restructure and ultimately transform the business. That journey hasn't always been linear. It was disrupted by the pandemic and other challenges. But I'm proud to say we've achieved what we set out to do. Today, AutoCanada is a more focused, disciplined and resilient organization. We've reshaped the business around a scalable Canadian platform, improved our cost structure and returned to profitable fundamentals. We've already realized $80 million of our original $100 million cost savings target, and with continued momentum, we've now raised that goal to $115 million by year-end. These are not hypothetical targets. These are real bankable savings that are materially strengthening our earnings profile. We've also made decisive progress in closing the chapter on the U.S. business. One sale has been closed, and we have a clear path to divesting the remaining dealerships. In total, we expect $115 million to $130 million in net proceeds from a group of dealerships that lost more than $20 million in adjusted EBITDA last year. These proceeds will allow us to reduce leverage to well within our long-term target range, leaving the company on strong financial footing. By the end of this year, AutoCanada will have come full circle, returning to its roots as a focused consolidator of Canadian franchise dealerships and collision centers. That was the job that I came to do and with the major pieces now in place, the time is right for a leadership transition. Before I pass it over to Sam, I want to briefly touch on our second quarter performance, which represents the operating leverage and financial discipline now embedded in the business. Adjusted EBITDA from continuing operations nearly doubled to $64.4 million, with margins improving 240 basis points to 4.8%. This was driven by a leaner cost base, tighter inventory management, reduced floor plan expenses and significantly higher used vehicle gross profit per unit, clear evidence that the ACX Operating Method is gaining traction. Even as volume softened partly due to store archetype transitions, we grew gross profit, cut normalized operating expense by 10% and meaningfully enhanced our earnings power. There is more work ahead, but AutoCanada is now operating from a position of strength. The business is more resilient. The path forward is clear, and I have every confidence in this team's ability to deliver continued progress. I want to sincerely thank our employees across the country who have worked relentlessly to drive this transformation and also our OEM partners for their continued support. It has been a privilege to lead this company through such a critical chapter in its history. With that, I'll hand it over to Sam to take you through the quarter in more detail.
Samuel C. Cochrane: Thanks, Paul, and good evening, everyone. Our second quarter results reflect continued progress on our transformation plan, with improving margin performance, disciplined cost control and encouraging signs of operational leverage even as we manage through near-term sales softness amid cost savings activities and ongoing portfolio reshaping. Revenue from continued operations declined 3% year-over-year to $1.34 billion, reflecting lower volumes, particularly in new vehicles and F&I. This was expected as several dealerships undergo archetype transitions, which temporarily impact frontline capacity and sales execution. Our Canadian platform is performing well, with growth in collision, improving performance in used vehicle profitability and operating expense reductions dropping to the bottom line. Gross profit from continuing operations grew by 2.1%, with margin improving 80 basis points to 16.8%. This was driven by stronger retail and wholesale used vehicle gross profit per unit, collision strength and benefits from tighter inventory management. Normalized operating expenses declined by $16.9 million or 10% year-over-year, reflecting the benefit of cost savings realized under the ACX Operating Method. These efficiencies, along with more stable floor plan costs, contributed to a meaningful improvement in earnings. Adjusted EBITDA from continuing operations increased 92.4% to $64.4 million and margin expanded 240 basis points to 4.8%. This is a strong signal that our transformation strategy is working and that the cost savings already realized are having a real and measurable impact on profitability. Net income from continuing operations was $18.9 million compared to $3.9 million in Q2 last year. Diluted EPS was $0.72, up from $0.12 per share. Turning to the cash flow. We generated $19.6 million of operating cash flow in the quarter. We also closed the quarter with $62.4 million of cash on hand and approximately $257.4 million of available liquidity under our revolving credit facility. As Paul noted, the U.S. divestiture is progressing well. Once complete, the expected total proceeds of $115 million to $130 million net of working capital will allow us to materially reduce leverage and bring our total net funded debt-to-bank EBITDA ratio within our normal covenant thresholds. We remain highly focused on liquidity and balance sheet strength through the remainder of 2025. While near-term volume softness may persist as we complete dealership transitions and optimize our cost structure, the financial foundation is stronger and our ability to generate more resilient earnings is improving quarter by quarter. With that, I'll turn the call back to Paul to discuss the outlook. Paul?
Paul W. Antony: Thanks, Sam. Right now, the team is highly focused on delivering the balance of the transformation plan. By year-end, we expect to generate $48.5 million in net in-year savings after absorbing $29 million in restructuring costs. On an annualized basis, we're on track to achieve $115 million in cumulative run rate savings in 2025, above the original $100 million target we set out with a couple of quarters ago. On the market front, Canadian new vehicle demand has been stronger than expected, supported by improved OEM incentives, lower interest rates and a pull forward of demand tied to potential tariffs. However, as we complete the ACX Operating Method rollout, we do expect some temporary softness in our same-store sales versus the broader market. This is just a function of resource reallocation as frontline teams focus on execution and efficiency gains, and we believe that this will normalize as the transformation concludes. We took the business down to the studs to rebuild with the right cost structure, and with that foundation in place, we'll begin to refocus on adding volume back into the business, this time on a significantly more efficient and profitable platform. As we close out the year, our priorities are clear: finalize the U.S. divestiture, deliver the remaining cost savings, deleverage the balance sheet and exit 2025 as a simpler, stronger, more profitable operator positioned as the true Canadian platform that has been purpose built for focused and disciplined consolidation and growth. Thank you. And with that, we'll open up the line for any questions.
Operator: [Operator Instructions] Your first question comes from the line of Chris Murray from ATB Capital Markets.
Christopher Allan Murray: Yes. So just maybe looking a little bit at some of the margin performance. Paul, I think in your script, you talked about maybe same store will be a little bit soft, but it seems like the margin performance both in the gross margin and the operating expenses was a lot better than I think we had initially anticipated going into the quarter. Can you just talk about the sustainability of that margin and how you think that will evolve?
Paul W. Antony: Yes. Listen, I think for the sustainability, we think that the business now is resilient. We foundationally changed the structure of the business. And so I think that it's definitely -- the business is now structurally different than what it was a year ago, 2 years ago, 3 years ago. And the next order of operations for us is to actually start adding back volume. And so -- and I know you didn't ask this question, but I guess I'll give this answer. The cost base of this business, the actual structure of this business is now set up to take on additional volume without incurring kind of the same sort of expense that we had previously. So we actually think that we might see margins even going up.
Christopher Allan Murray: Okay. That's helpful. Another couple of questions. And Paul, I guess, first of all, congratulations on, I guess, I don't know if I'd call it your retirement but certainly with the -- your time in the role so far at AutoCanada. But one of the things that -- I know you were always one of the leaders of -- was the digital strategy. We're starting to see some more, I guess, Amazon starting to roll out some new programs. I know you've worked with some different partners over the last few years. And I know that AutoCanada actually sort of internalized the digital strategy. Can you just maybe talk about where you're at on this journey and kind of where we've left it today and where we should expect it to be going in the next little while?
Paul W. Antony: Sure. I mean, the digital disruption going on in this business is significant. I think you're probably reading the same things that everybody's reading, we're getting tons of questions on, is the way cars were acquired. A lot of like CarMax, Carvana, the way they purchase the vehicle from the consumer, that's kind of -- that's changed the game for a lot of dealers. They are the most profitable, fastest-turning vehicles. As you know, we did a deal with Kijiji back 1.5 years ago, and we've been building up that muscle. And in fact, we're now live across Canada, buying cars direct from consumers through Kijiji. So they have one option to list their car online. Another option is to sell them to us. We're using that same team that's actually doing the buying on Kijiji and giving offers. And that same team will start to enable our dealerships to put values on vehicles rather than these widgets, these valuation widgets. We'll be able to target and drive better offers, higher, more accurate offers for consumers for a way better consumer experience. On the other side that you were talking about with Amazon getting into the market, Amazon getting into the market is not a new thing. They actually tested it out in the States with Hyundai on the new car side. The used car side, it's a little bit tougher. Like if you think about this, Amazon charges -- right now, they charge per sale. They charge per transaction, like completed transaction. I think with used cars, it's a little bit tougher. And so I think the whole way that Amazon needs to think about things, it would seem to me that they have to get into the lead selling business versus the actual completed transaction business. And TBD what that looks like. I don't think that any of us has a view on it. I do know that when Amazon puts their mind to anything, it's probably going to win, if you want to probably be on the right side of it. But we're open for business, and we're happy to be a source of inventory for Amazon to market our vehicles on. They have such a reach. I mean I've said this -- we talked about this at our Board meeting. Like when I order something on Amazon, even though I know I'm buying from Jeff's Flowers, I actually think I'm buying from Amazon, not Jeff's Flowers, right? So that's the only thing that everybody needs to be thinking about, is their own brand for their own business and what they give away by selling on these marketplaces. But we've been spending a lot of time and energy thinking about digital disruption and how do we disrupt our own business. I think that that's prudent for any business owner. It's probably my favorite part of this business, is thinking about how to disrupt it perversely. Like that's what I enjoy doing. And so I think this company is in great shape.
Christopher Allan Murray: Okay. That's helpful. And then maybe if I could just squeeze in one more. On M&A, this is -- like the whole discussion around kind of returning to being an acquirer in the Canadian market has been on pause for quite a few number of periods as you've kind of gone through some of this restructuring. I guess 2 parts to the question. One, is there a trigger point where you start feeling more comfortable on actually starting to acquire that you feel like the balance sheet is in the right place that you can support that? And then I guess, second, what would a pipeline look like right now for opportunities across the marketplace? Is there any sort of differentiator on different brands or types of brands that you're seeing that there's more opportunities or more willing sellers? Any sort of color you could add into the marketplace would be great.
Paul W. Antony: So I think that's for the next group of leaders of this company. But I would say if it were me, the way I would be thinking about it is I think that -- I'm going to take a victory lap for our entire company right now for our team. The way this company is performing versus our peers, even though our peers might have outsold us, I think we've outearned the market. And our margins now give us the right to go become a serial acquirer and actually snap in stores and put them under our operating method once it's proven out. I would say, though, there's still a little bit of a hangover from COVID where dealers have this belief that their dealerships are still worth a lot of money and actually significantly more than in the United States. And so as we're seeing the market normalize, a few quarters of this, over time, I think the reality on the ground of -- that COVID is not coming back and they need to actually do the hard work that we just did or think about exiting the business starts getting into place. And so I think that over the course of the next year, 1.5 years, there's probably going to be a significant funnel of stores to be bought and to be bolted in using the ACX Operating Method and for us to take advantage of our size and scale to actually open up geographically and by brand. And so when you were asking about brands, I would say what we -- what at least I've noticed is all brands cycle up and all brands cycle down. And it's up to us to have a balanced portfolio of brands and geographies across the country. And I think that that's what we'll aim to do as a company, is just balance the portfolio across the organization and operate using the ACX Operating Method, which I'm going to actually -- on this call, I'd like to give credit for the name ACX to Art Crawford, who's running our collision business. It's him and his team that came up with it, and we've stolen it from him. So we owe it to him to say that the ACX Operating Method, though it is AutoCanada's, it started in Art's garage. Is that helpful, Chris?
Christopher Allan Murray: Yes, I'll leave it there. Right. That is helpful.
Operator: Your next question comes from the line of Maxim Sytchev from National Bank Financial.
Maxim Sytchev: Maybe, Paul and Sam, the first question is has anything changed in terms of your used procurement strategy because, I mean, obviously, the margin dynamic is just quite favorable right now as we see from the results.
Paul W. Antony: So the procurement strategy to used cars, there's a bunch of different methods for used cars. One is to buy them off the street, so buying from individuals, which we are not great at but getting better for sure. Like our numbers are going up every month. And we have a team of people purpose built for that. Another method is buying from auctions, which is a very costly method of acquiring inventory. Another method is trade-ins. And so the more new cars you sell, the more used cars you can potentially get a trade. And those are wonderful opportunities. And then there's rental car purchases, and rental car purchases are probably our last resort. Though they're fine cars to sell, they're kind of fillers. They're loss leaders. Like everybody has them and so very easy to shop. And basically, we're just using that to fill volume. I would say that where we have the opportunity right now is buying off the street. And our intention as a company is to really build that muscle out over time. And I think that that's probably the #1 focus of the business on the used car side, is actually acquiring inventory in a really, really responsible way and in order to maximize the sale price and then honestly actually to push them out that much faster. The vehicles that we buy from trade-ins and from off the street turn faster for more money, and so that obviously is our #1 objective.
Maxim Sytchev: Okay. Super helpful. And then just the last question, and I think you kind of touched on this in response to Chris' question. But in relation to having that balance of having the cost out and the ability to support growth, do you mind providing just a couple of examples that sort of enables you to do that? I mean, obviously, central, like sort of the CFO function, procurement, et cetera, that's being rolled out right now. Do you mind kind of like reinterpreting this and providing a bit more color around that dynamic? That would be super helpful.
Paul W. Antony: I'll let Sam take this.
Samuel C. Cochrane: Yes. Sorry, Max, you're looking for examples of where we're getting cost out. Is that the question?
Maxim Sytchev: Well, just that full dynamic, obviously, you're getting the cost out, but you're also talking about being able to handle more volume, which historically was not exactly -- there was not a negative correlation. You know what I mean?
Samuel C. Cochrane: I understand. Yes, let me pass it back to Paul. I think he has an answer he wants to give you.
Paul W. Antony: Yes. Yes. I mean it's not that I want to give this. But what we did -- Max, maybe I misspoke. We sacrificed volume is what I said. We sacrificed volume right now to get really good on the cost out. And so I'm sitting actually with one of our star dealers right now as we're having this call, and he understands -- like though his volumes haven't suffered a ton, they've gone down a little bit. We actually made a decision consciously as a company and intentionally that we're going to sacrifice volume right now to get really good and in rhythm with the expense cost out, and so we could build the muscle within our organization to be able to start accepting more cars with this new level and this new structure for everybody to get used to first. And so we've now operated several quarters with the new structure, and we're now ready to start adding back volume. What I would say is like, I don't know how to -- I guess, maybe explain it another way is we couldn't do both things at once. When we -- yes, it's a bit of an order of operations. Like we could have -- like during COVID, we over-indexed to try and sell more cars, and we didn't worry about costs. And so what happened? Our costs got out of hand. And then we ended up as we did in 2023 and 2024. And so what we said was that we need to foundationally change the company, and so we're going to focus on cost out. And so we have been religious about cost out. And Drew Forret is sitting with me. He's been the Chief Transformation Officer kind of overseeing this. And that is the foundation of the company. And so what I meant by this whole thing was it's now going to be time to add back volume and start taking back our unfair share of the market.
Maxim Sytchev: Okay. Understood that. And I appreciate the color. And then just one quick cleanup if I may. In terms of sort of the days outstanding or how many days of inventory do you have for used and new, I haven't had a chance to -- went through -- to go through the entire MD&A. Is it possible to provide any color there?
Samuel C. Cochrane: Yes. They're definitely down as we have a more sort of disciplined approach to inventory. As you can see in our floor plan, expense has also decreased with less inventory, also a couple of rate decreases over the last year. But they're definitely down, Max, and we expect that to be sustainable going forward. So happy to chat about that more in our one-on-ones, but that's -- those are the metrics.
Paul W. Antony: The other thing I might say, Max -- I know you didn't ask this, but when we're talking about inventory levels, the one thing that I actually -- I want to say now that I've been embarrassed about in the past, but I don't think this company is ever going to be embarrassed about in the future was the write-downs and not managing inventory the way the market -- like to make us an investable company in the future. I think we've got this company in such a position now where this -- I'm going to knock on wood, but I don't think you're going to see write-downs for inventory for this company again. We've built in the muscle and we built in a pretty good hedge against all of our inventory writing it to market every quarter. And I think that's something that I'm super proud of.
Maxim Sytchev: Yes, absolutely. And Paul, I don't know if you're going to be on sort of subsequent calls, but if not, obviously, all the best and well done here.
Paul W. Antony: Max, one of the things that's been on my mind for the longest time is winning you over, and I will tell you, I hope we've done that now. It's been a long road, and thanks for your support.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call back to Paul. Please continue.
Paul W. Antony: Yes. So again, I really just want to thank all of our OEM partners. Without you, we clearly wouldn't be hanging a shingle upfront and selling vehicles. I want to thank all of our staff. It's been a really, really hard year. I remember, I think, a year ago, maybe 1.5 years ago telling everybody that there's fruit. It's just not low hanging. I didn't realize how high it was, and it's been a really, really hard goal for everybody in this company to actually go and perform like they are right now. But you're getting to see the results as everybody has leaned in and really, really made this happen. And so to this entire company, I am very grateful. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.